Operator: Ladies and gentlemen, thank you for standing by, and welcome to Custom Truck One Sources First Quarter 2023 Earnings Conference Call. Please note this conference call is being recorded.  I would now like to hand the conference call over to your host today, Brian Peman, Vice President of Investor Relations for Custom Truck. Thank you, sir. Please go ahead.
Brian Peman: Thank you, and good afternoon. Before we begin, we would like to remind you that management's commentary and responses to questions on today's call may include forward-looking statements, which, by their nature, are uncertain and outside of the company's control. Although these forward-looking statements are based on management's current expectations and beliefs, actual results may differ materially. For a discussion of some of the factors that could cause actual results to differ, please refer to the Risk Factors section of the company's filings with the SEC. Additionally, please note that you can find reconciliations of the historical non-GAAP financial measures discussed during the call in the press release we issued today. The press release we issued this afternoon and our quarterly investor presentation are posted on the Investor Relations section of our website. We filed our first quarter 2023 10-Q with the SEC this afternoon. Today's discussion of our results of operations for Custom Truck One Source Inc., or Custom Truck is presented on a historical basis as of or for the three months ended March 31, 2023, and prior periods.  Joining me today are Ryan McMonagle, CEO; and Chris Eperjesy, CFO. I will now turn the call over to Ryan.
Ryan McMonagle: Thanks, Brian, and welcome, everyone, to today's call. I'd like to begin by thanking all of our employees, customers and suppliers who continue to support our business and helped us deliver such a strong quarter. The entire custom truck team continues to work tirelessly to maintain record levels of production, enabling us to grow our rental fleet to meet continued strong demand for new equipment and to fulfill our goal of providing unrivaled service to our customers. For the first quarter of the year, we delivered strong year-over-year revenue, adjusted gross profit and adjusted EBITDA growth. We generated $452 million of revenue, $150 million of adjusted gross profit and $105 million of adjusted EBITDA in Q1, up 23%, 16% and 15%, respectively, versus Q1 2022. Overall demand remains very strong in each of our strategically selected primary end markets, utility or T&D, telecom, rail and infrastructure. These markets offer compelling long-term growth opportunities well in excess of GDP, which we believe should continue for the foreseeable future. The reported backlogs of the utility and telecom contractors, our largest customer base, continue to be good proxies for this sustained growth and remain at or near record levels. We see continued strong demand in our new sales backlog and in the performance of the rental fleet. Additionally, in the first quarter, we continued to experience strong demand from our customers to purchase assets in the rental fleet. We see all of these as positive leading indicators for sustained future demand. Rental utilization in the ERS segment remains near record high levels, and we continue to focus on rental pricing and the amount of time it takes to turn a piece of equipment and make it available to go back on rent, both of which positively impact adjusted gross margin, investment of $109 million into the rental fleet and sales of certain aged assets in Q1 resulted in the reduction of our fleet age to under 3.7 years, which we believe remains the youngest in the industry. As we stated on last quarter's call, we expect to continue to aggressively invest in the fleet for the remainder of the year. In the TES segment, we sold $209 million of equipment in the quarter, a 25% increase compared to Q1 2022. Additionally, our backlog grew by more than $100 million in the quarter or more than 13% versus the end of 2022. Our backlog is up 46% versus the end of Q1 last year. These results point to continued strong demand for new equipment. We are proud of the relationships we have with our chassis, body and attachment vendors, and we continue to work closely with them to address supply chain issues as they arise. Progress in this area resulted in our inventory growing by $118 million in the quarter, which we see as a positive indicator of improving supply chain conditions and positions us well to meet our production fleet growth and sales goals for the remainder of the year. Strategically, we remain focused on investing in and optimizing our production capacity to ensure that we deliver the product and service levels our customers expect from us. In Kansas City, Missouri, we acquired approximately 60 acres adjacent to our facility and are in the process of bringing more than 200,000 square feet of manufacturing, production and PTA warehouse capacity online. In Union Grove, Wisconsin, we are investing to nearly double production capacity. These investments, which we expect to be complete in the second half of the year will ensure that we have sufficient capacity to meet our growth targets for both our rental fleet and new equipment sales as well as be a catalyst for growth in our APS segment. As we look ahead to the rest of the year, we believe that our first quarter results, favorable end market tailwinds, robust customer demand, improving supply chain dynamics and continued outstanding execution by our team, all provide Custom Truck with the momentum to deliver strong revenue, adjusted gross profit and adjusted EBITDA growth. While Chris will discuss our 2023 outlook in greater detail, based on year-to-date performance and the outlook for the remainder of the year, we are increasing our projected total revenue range to $1.635 billion to $1.755 billion and our adjusted EBITDA range to $420 million to $440 million. In closing, we know our employees are the key to delivering the exceptional financial results and unmatched customer service we saw in the first quarter. and I'd like to extend a sincere thank you to them.  I will now turn it over to Chris.
Chris Eperjesy: Thanks, Ryan. As Ryan indicated, Q1 was a very strong quarter. End market demand remained strong, resulting in total revenue of $452 million, up 23% compared to Q1 2022. Adjusted gross profit was $150 million, up 16% compared to Q1 2022, resulting in an adjusted gross margin for the quarter of 33.2%. Adjusted EBITDA was $105 million, a 15% improvement compared to Q1 2022. Adjusted gross profit and adjusted EBITDA growth lagged revenue growth largely as a result of segment revenue mix. While all of our segments experienced year-over-year growth, rental asset sales and TES revenue, which have a lower gross margin associated with them, comprised 67% of total revenue in Q1 2023 versus 62% in Q1 2022. SG&A was $57 million for Q1 or 13% of revenues, an improvement versus 15% in Q1 2022. Net income for the quarter was $13.8 million, a $17.1 million increase from Q1 2022 and the second consecutive quarter of positive net income. Turning to our segment results. Ryan referenced our continued strong utilization within our ERS segment for the quarter, which was almost 84%, up from 83% for Q1 2022. Average OEC on rent increased by more than $95 million compared to Q1 2022. On rent yield was 39.6% for the quarter compared to 39.1% for Q1 2022. Our OEC in the rental fleet ended the quarter at $1.46 billion, up $93 million versus Q1 2022. As Ryan mentioned, consistent with our expectation of continued strong investment in our rental fleet, we deployed $109 million of new equipment into our rental fleet in the quarter, and we expect to continue to invest heavily in the fleet for the remainder of 2023. For Q1, ERS rental revenue was $114 million, an increase of 8% versus Q1 2022. In line with our comments from the last two quarters regarding strong demand from our customers for rental asset purchases, ERS used equipment sales for the quarter were a record $92 million, up more than 55% versus Q1 2022 and up more than 17% from last quarter. ERS adjusted gross profit was $106 million for Q1, up 9% from Q1 2022. Adjusted gross margin was 51.4%, a decrease from Q1 2022, largely as a result of revenue mix as rental asset sales comprised 45% of total ERS revenue in the first quarter of this year versus 36% in Q1 2022. Rental adjusted gross margin continued to be strong at 74.5%. TES saw another strong quarter with revenues of $209 million, which were up almost 25% from Q1 2022. This segment continues to benefit from record backlog, continued strong inventory flows and record levels of production. Gross profit increased by more than 43% in the quarter compared to Q1 2022. Gross margin for the quarter was 16%, up from 14% in Q1 2022. Our sales activity continues to be extremely strong with backlog growing by more than $100 million or 13% sequentially from Q4 to $855 million. The growth in our backlog was very broad-based across our product portfolio. We believe the continued growth in the TES sales backlog reflects growing demand for equipment, indicative of our favorable end market dynamics, our strong market share gains and our pricing discipline. We have been successful in countering inflationary pressures through the implementation of ongoing production efficiency initiatives as well as maintaining pricing discipline, including passing through vendor surcharges. As this quarter's TES results show, we are confident we will be able to hold margins at or above the average we experienced for all of 2022 over the coming quarters, even with elevated levels of inflation. Our APS business posted revenue of $37 million, up 10% versus Q1 2022. Adjusted gross profit margin in the segment improved to 27.2% in Q1. Within the APS segment, parts and service revenue was up more than 8% compared to Q1 2022. Maintaining a strong liquidity position and improving our leverage remains priorities for us as to investing in the rental fleet, expanding our footprint and pursuing selective strategic growth through M&A. Since initiating our stock repurchase program in the third quarter of last year, we have repurchased approximately $12 million of our stock. We increased borrowings under our ABL by more than $24 million, mainly to fund working capital as we replenish inventory and ramp up production to meet demand with the outstanding balance at the end of Q1 at $462 million. As of March 31, we had $285 million available and $245 million of suppressed availability under the ABL with the ability to upsize the facility. With the LTM adjusted EBITDA of $407 million, we finished Q1 with net leverage of 3.4x, an improvement of almost 1.2 turns since the close of the transaction with NASCO in April 2021 and down from just over 3.5 times last quarter. Achieving leverage below 3x remains our target and one that we believe we can achieve by the end of fiscal 2023. We will continue to seek to make incremental investments and prudent acquisitions when we believe they create long-term shareholder value. With respect to our 2023 outlook, we believe ERS will continue to benefit from strong demand from our rental customers as well as for purchases of rental fleet units, particularly older equipment for the rest of the year. We also expect to further grow our net OEC by mid to high single digits. Regarding TES, supply chain improvements, improved inventory levels and record backlog levels should improve our ability to produce and deliver more units in the coming quarters. We are providing updated guidance for our segments as follows: We expect ERS revenue of between $670 million and $710 million, TES revenue in the range of $820 million to $890 million and APS revenue of between $145 million and $155 million. As Ryan mentioned previously, this results in total revenue in the range of $1.635 billion to $1.755 billion, and we are projecting adjusted EBITDA from $420 million to $440 million. In closing, I want to echo Ryan's comments regarding our continued strong performance. As we've moved into the third year of our successful combination with NESCO, we continue to deliver strong revenue and adjusted EBITDA growth, expanded margins in an inflationary environment and reduced leverage, all while providing the highest levels of service to our customers.  With that, I will turn it over to the operator to open the lines for questions. Operator?
Operator: [Operator Instructions] The first question is from Mike Shlisky of D.A. Davidson.
Mike Shlisky: Can you start off with just a question on utilization? I guess I'm wondering what is the directional outlook on edition from this point. Typically, in past years, it goes up in 2Q, 3Q, and even in 4Q. I'm curious whether that pattern will continue here in 2023.
Ryan McMonagle: I would say that utilization is remaining strong. And I think you're right that there typically is some increase in Q2. And then the end of Q3 is normally strong kind of after we come out of the hottest part of the summer. So we would expect a similar type trend. We're happy that utilization in Q1 of this year was more than 100 basis points ahead of where it was in Q1 of last year. And so we're feeling good about utilization in the overall rental fleet.
Mike Shlisky: And then given the improved EBITDA outlook, I was curious I guess this is for Chris, you can tell you still plan to be below 3 times lever -- it will be at or past even below 3 times leverage by the end of the year at this point.
Chris Eperjesy: Mike, I would say we're still targeting 3 times. And kind of as I said at the end of the year, it's really dependent upon what we're seeing in terms of whether there's opportunity in terms of our investment in the rental fleet. But right now, all signs would indicate that we -- that's still our plan to be below 3 times by the end of the fiscal year.
Mike Shlisky: And maybe one last one from me, just about the backlog in TES. I'm curious. Can you update us on what you think is a more normalized -- like how many months of backlog would you prefer to have given the prepaid area that is today, but what is the correct number as far as the months going eventually you plan to bring this down to overtime?
Ryan McMonagle: I think it will depend on supply chain, right? So while supply chain is significantly improving, the fact that it still grew by $100 million in the quarter. We see as just an incredibly good sign in terms of how strong demand is. If you look at historical -- if you look as far back as we've reported quarterly and you look at that as kind of months of backlog, if you want to think about it in months, historically, it's been, I'd say, closer to five or six months is where we'd like to see it, and we can kind of run that math. It's been as low as four and kind of in that range in the past. But again, as long as there's -- continues to be strong demand, which is what we're seeing across all the end markets, we'll continue to work through backlog as quickly as we can. We thought even in the month of March, which was a very strong month for us, we saw backlog build even in that month. And so for us, we're just reading it is still really strong demand signals from our customers across all of the end markets that we're serving right now.
Operator: The next question is from Tami Zakaria of JPMorgan.
Tami Zakaria: So I have a couple of questions. The first one is on rent yield. It was up nicely 50 basis points year-over-year. Is that 39.6% a good run rate for the next three quarters, or how should we think about that number?
Chris Eperjesy: I think we said at year-end, that's the best estimate to use for this year is that we're going to maintain at that level.
Tami Zakaria: So pretty much the next three quarters should be in that range or should we expect some up and down because of the seasonality?
Ryan McMonagle: Tami, there's always a little bit of variability in it just because as utilization is increasing, it actually has a bit of a negative impact in the on-rent yield calc. And then as utilization is decreasing, it has a positive impact. So there's always going to be a little bit of room around there. But I think you're thinking about it right that we're up over last Q1. And I think -- so we feel good there. We are -- we do expect -- we did take some price increases at the beginning of the year. And those -- as you know, those will take some time to work all the way through our contracts. So we do think that there is some continued increase in price that will show up in the business as well over the next couple of quarters.
Tami Zakaria: And then my second question is on equipment sales. It seems like for the TES segment, you raised the midpoint of your guide by about $20 million, I think, but the first quarter came in well above what we were modeling. So from a modeling perspective, was there a pull forward in the first quarter, or how should we think about the next three quarters in terms of sequential growth in the TES segment?
Chris Eperjesy: Tami, the way I would think about it is it probably didn't come in as high versus our expectations as it did versus yours. And so that's why we've taken up the guidance, the $20 million, both on the bottom and the top end of the range. I probably wouldn't add more than that in terms of what our expectations are for the balance of the year. But we've had two quarters in a row with record new equipment sales. Demand continues to be strong. As we've talked about, inventory levels are in a very good position. We still have the demand, obviously. So we certainly expect to continue to see pretty significant new equipment sales. I would say the first half of this year was a comp to last year, where we did have some of the challenges around inventory. And obviously, the second half of the year last year, that started to loosen up some. And so we did have a pretty significant Q4.
Tami Zakaria: Is it fair to say that your TES segment sales could have been higher, but probably supply chain kind of held it back versus your expectation?
Ryan McMonagle: Look, I think the supply chains continue to improve, right? So I think that is why you see the Q1 on Q1, how significant the increase was in terms of new equipment sales Q1-on-Q1. And so we are seeing it improve. But yes, we're still seeing backlog build and even to Mike's question before yours, Tami, at some point, we would expect months on hand to start to decrease in terms of backlog. So yes, if there had been more supply chain, we would have been able to deliver more trucks. There's no question about that. But things are certainly looking up and are improving. You're seeing in the results that we're reporting.
Operator: The next question is from Justin Hauke of Robert W. Baird.
Justin Hauke: Obviously, the revenue was really strong here. The ERS margin mix that you guys talked about, I don't know that everyone fully appreciates that there's a sales component that runs through that and how sensitive your margins are to that. So maybe you could just give us some rough math on what the margin impact was from the sales being 45% of revenue in that segment versus kind of 36% last year, given that at least at a segment level, your margins are in rental are like 3times what they are in sales. So I'd imagine that, that really diluted the margins versus maybe a like-for-like basis.
Chris Eperjesy: And maybe I can expand a little bit on that. As we said in our introductory comments, the mix, first quarter this year versus first quarter last year, shifted from 64%, 36% last year. So 64% for rental revenue and 36% for equipment sales. This year, it was 55% and 45%. The margins are much higher on rental revenue versus equipment sales. We mentioned that overall margins -- adjusted gross profit came down from 58% to 51% or just under 59% to 51%. That was largely driven by that mix because we -- overall, we continue to see margins exactly where we expected them to be. And as we said at the end of last year, a good guide for this year is, as we came out of the year, we felt like for the full year, we can exceed our segment margins for 2023 versus 2022.
Justin Hauke: I mean yes, just because it's -- obviously, we can't break that out, but it kind of sounds like maybe on a like-for-like basis, if you could break out the rental and the sales component of the ERS segment, the margins are maybe above what they would be last year, absent that issue. Would that be fair?
Chris Eperjesy: I would say they're consistent with where the margins were for the subsegments. There could be some mix within each of those that could, from quarter-to-quarter impact those margins.
Ryan McMonagle: Justin, you also have to remember that the margin on the used equipment sales is so impacted by -- it's an accounting margin. So it depends on the age of what's being sold. And so it depends on how depreciated it is. And so that may shift quarter-to-quarter depending on how the -- on the age of the equipment that's being sold within ERS.
Justin Hauke: I guess my second question is just as it relates to the guide, and obviously, you don't give quarterly, but you'd kind of talked about going into this quarter that EBITDA growth was maybe -- would be in the mid-single digits. It was up 15%. So obviously, it was strong in the first quarter. You talked about the mix for the year being 45-55 first half versus second half weighted in terms of the EBITDA. And I guess if you do the math at the midpoint of your guidance, that implies 2Q EBITDA at around $88 million. The Street numbers that are out there are around $97 million. So I guess just maybe square that up in kind of what you're thinking about 2Q and seasonality.
Chris Eperjesy: Yes, that could be a little bit narrower range in the 55, 45, 55, 45, 55 second half, 45% in the first half. The way I would look at it is there is some seasonality built into the quarters. We also just had two of the strongest quarters -- or the strongest quarters we've ever had in terms of rental asset sales as well as new equipment sales. So there could be -- there's going to be some of that impact potentially in Q2. So the way I would look at it is we'd expect high single digit, probably 10% is kind of range increase year-over-year from EBITDA and I would still expect that 55%, 45%, maybe a little bit narrower than that to hold.
Operator: There are no further questions at this time. I would like to turn the floor back over to Ryan McMonagle for closing comments.
Ryan McMonagle: Thanks, Irene. Thanks, everyone, for your time today and your interest in Custom Truck. We look forward to speaking with you on our next quarterly earnings call. And in the meantime, please don't hesitate to reach out with any questions. Thank you, again. Take care.
Operator: Ladies and gentlemen, that concludes today's conference. Thank you for joining us. You may now disconnect your lines.